Operator: Good day, ladies and gentlemen and welcome to the LeMaitre Vascular Q3 2013 Financial Results Conference Call. As a reminder, today's call is being recorded. At this time, I would like to turn the call over to Mr. JJ Pellegrino, Chief Financial Officer of LeMaitre Vascular. Please go ahead, sir.
Joseph P. Pellegrino, Jr.: Thank you, Sue [ph]. Good afternoon and thank you for joining us for our Q3 2013 conference call. Joining me on today’s call is our Chairman and CEO, George LeMaitre and our President David Roberts. Before we begin, I would like to read our Safe Harbor statement. Today, we will make some forward-looking statements, the accuracy of which is subject to risks and uncertainties. Wherever possible, we will try to identify those forward-looking statements by using words such as belief, expect, anticipate, forecast and similar expressions. Our forward-looking statements are based on our estimates and assumptions as of today October 29, 2013 and should not be relied upon as representing our estimates or views on any subsequent date. Please refer to the cautionary statement regarding forward-looking information and the risk factors in our 2012 10-K and subsequent SEC filings, including disclosure of the factors that could cause actual results to differ materially from those expressed or implied. During this call, we will discuss non-GAAP financial measures which include organic sales and growth numbers. A reconciliation of GAAP to non-GAAP measures is contained in our press release announcing these quarter’s results and as available in the Investor Relations section of our website at www.lemaitre.com. I'll now turn the call over to George LeMaitre.
George W. LeMaitre: Thanks, JJ. Q3 2013 was a productive quarter. I would like to focus on four headlines. Number one, Q3 sales grew 12% to $15.3 million, our fourth straight double-digit quarter. Number two, Q3 XenoSure sales grew 49% to a record $2 million. Number three, in Q3 we agreed to terminate our distributors in Australia and Norway. And finally, number four, in Q3 we made two small vascular acquisitions. As to our first headline, we posted sales of $15.3 million in Q3 2013, a 12% improvement over the Q3 2012 and our fourth straight double-digit quarter. Our continued sales growth is a direct result of our simple strategy, acquire vascular devices, develop vascular devices and expand our footprint by adding sales reps in new geographies. More specifically, our Q3 growth was due to XenoSure, 18% international sales growth, increased export sales and our continued go-direct strategy. From a product perspective, the four products which continued to power growth remain XenoSure, Catheters, Valvulotome and clips. JJ’s sales guidance at the end of this call will forecast a fifth straight quarter of double-digit growth. As to our second headline, XenoSure has become the growth engine of LeMaitre Vascular, posting 49% year-over-year growth and a record $2 million in sales in Q3. Here are three reasons for this product’s success. Number one, XenoSure has used primarily for carotid endarterectomy. We sell $9 million of Pruitt Carotid Shunt a year. So these two devices enjoy significant interrupt procedure synergy. Number two vascular surgeons increasingly prefer biological patches as they believe they cause less infection. And finally number three; this is a simple math between a quality vascular product and a growing vascular sales force. XenoSure is now our fourth largest product and we believe it will become our third largest product in 2014. We estimate that worldwide vascular patch market is $35 million and XenoSure has a 20% market share. We currently have XenoSure approvals in the U.S., Canada and Europe and we planned to make our Chinese and Australian regulatory submissions in Q1 2014. As to our third headline, in October we agreed to terminate our Australian and Norwegian distributors. We planned to be in direct-to-hospital in these markets in January 2014. Australia and Norway rank number nine and number three in terms of GDP per capita. With these two markets in the full, we will be direct-to-hospital in 19 of the top 25 GDP per capita countries. The Norwegian operations will leverage our Frankfurt shipping and billing infrastructure, while Australia will be our fixed stocking and shipping subsidiary. Our Melbourne office will closely resemble our Toronto and Tokyo operations. It’s clear that the LeMaitre brand is relatively unknown in Australia and few of our peers are direct in this remote market. Both stocks would indicate upside down under. As to our fourth headline, we acquired Clinical Instruments in July and InaVein in August. At this point I’d like to hand the call over to Dave Roberts for more on these deals.
David B. Roberts: Thanks. As George mentioned, in July we acquired the assets at Clinical Instruments, manufacturer of carotid shunts and embolectomy catheters. This tuck-in acquisition should allow us to increase share in our second and third largest product lines, while adding latex free shunts to our catalogue. Clinical posted 2012 revenues of $635,000 and we paid $1.1 million or 1.7 times revenue. In August, we acquired the assets of InaVein, the owner of Trivex, a system that removes varicose veins, compared to conventional hook phlebectomy; this procedure is faster and results in more complete vein removal through fewer incisions. We acquired Trivex for three reasons. First, it puts a highly differentiated vein product in to our sales bag. Second, the economics of the transaction were favorable, excluding potential earn-outs we paid $2.5 million for $2.3 million of 2012 sales a 1.1x sales multiple. In addition these sales carry a 60% to 70% gross margin in the U.S. Finally Trivex represents a revenue opportunity for LeMaitre in China. In Q3 we shipped our first Trivex order to China and in October we signed a term sheet with Trivex’s Chinese distributor, between now and next July we expect some amount of sales in the China before the Chinese approvals expire in 2014. We anticipate re-approval in 2015 or 2016. The integration of Trivex is proceeding apace, this was a four employee company located five miles from our Burlington Headquarters and we’ve closed our offices and transitioned their customer base. Trivex manufacturing is currently outsourced and over the next several quarters we will consider if and when to bring these activities in house. With that I’ll turn it over to JJ.
Joseph P. Pellegrino: Thanks Dave, I would now like to take a few minutes to comment on our Q3 2013 gross margin, operating results, dividends and guidance. Gross margin in Q3 2013, decreased to 70% from 73.4% in Q3 2012 due to XenoSure transition costs, a mix shift towards lower-margin XenoSure and international sales and costs related to the Clinical Instruments acquisition. As you may remember from the 2012 XenoSure acquisition, we are in the midst of transitioning manufacturing from facilities in Vancouver to Burlington. This transition is progressing nicely; and we are currently manufacturing implants that should be available for sale U.S. hospitals by year end. While we expect higher cost product initially, we believe that we will improve XenoSure margins overtime. With regard to geographic and product mix XenoSure increased XenoSure and International sales put downward pressure on the gross margin. And as for Clinical Instruments we will continue to incur integration costs over the next six months as we transfer production to Burlington and close the Southbridge facility. Given all this, I expect gross margins to remain in the 70% range through the first half of 2014. Q3 2013 operating income was $780,000 versus $1 million in Q3 2012. 12% sales growth was offset by a lower gross margin and higher operating expenses. Expense increases were driven by our larger sales force, administrative expenses from the new Canadian subsidiary, additional administrative personnel and the Affordable Care Act taxes. Still our operating expenses as a percent of sales were down year-over-year to 65%, leaving the reduced gross margin as the main driver of the unfavorable operating margin comparison. On a sequential basis however, the operating margin decline was largely the result of lower seasonal sales. Q3 2013 taxes were only $4,000 on pre-tax income of $780,000. The low tax rate in the quarter was mainly the result of reductions of certain tax positions due to lapses in statute limitations. For the full year 2013, we expect an effective tax rate of approximately 30%. Cash and marketable securities were $13.6 million at September 30, 2013, a $1.3 million quarterly decrease driven by $3.2 million of acquisition costs. Excluding the two acquisitions, cash would have increased by $1.9 million in the quarter and in fact year-to-date cash from operations was $4 million underscoring the cash generating ability of the company. On October 23, 2013 we approved quarterly cash dividend of $0.03 per share of common stock. The dividend will be paid December 4, 2013 to shareholders of record on November 20, 2013. In 2013, to-date we have paid $1.4 million in dividends and have repurchased $87,000 in shares of LeMaitre common stock. Turning to guidance, we expect Q4 2013 sales of $16.5 million, up 11% versus Q4 2012 and operating income of $1.3 million and 8% of operating margin. Additionally, we are increasing our 2013 sales guidance to $63.1 million, up 11% versus 2012 and our 2013 XenoSure guidance to $7.6 million, up 48% versus 2012. With regards to the bottom line, we reduced our 2013 operating income guidance to $4.6 million, 7% operating margin. In closing, I would like to welcome Chris Lewis of ROTH Capital Partners and Jan Wald of The Benchmark Company to our list of six covering analyst. In addition, we will be presenting several upcoming investor conferences. The Canaccord Genuity, MedTech and Diagnostics forum in November in New York. The Sidoti one-on-one conference in November in New York, the Three Part Advisors IDEAS conference in November in Dallas, The Green Capital Lifesciences Summit in November in New York, and the Benchmark Micro Cap conference in December in Chicago. And finally, we will be holding our 2013 Analyst Day at our headquarters in Burlington, Mass on November 12 and also in San Francisco at The One Market Restaurant on November 13. With that I’ll turn the call back over to Sue for Q&A.
Operator: (Operator Instructions). And your first question comes from the line of Jason Zhang, Edison Investment Research. Please go ahead.
Jason Zhang – Edison Investment Research: All can hear me okay?
George W. LeMaitre: Hi, Jason we can.
Jason Zhang – Edison Investment Research: Okay, very well thanks. I have two – no maybe three questions, the first one is about the two acquisitions combined 2012 revenue its about $3 million and particularly for InaVein you didn’t say how much revenue was for the first two quarters this year. I wonder whether you have that number or you want to provide that to us. And related question is for the combined revenue in 2012 $3 million. Do you think that will be somewhat revenue expected from these two acquisitions in 2014 or actually think this revenue base will grow or smaller than what they where in 2012. So that’s the first question and the second one I guess is your sales cost as increased slowly, because of added sales person I guess and also at different concepts you have decided to go direct. I guess my question really is at what point do you think your increase of sales cost will plateau because your sales force size will be enough for your business, so at that point the increase of the sales guys, I guess the revenue will continue to increase but the cost will stop increasing therefore will have the real contribution to the bottom line.
George W. LeMaitre: Okay, Jason this is George. I’m going to take you – I’m going to try to take these question piece meal. So the first one is getting to how much revenue these two acquisitions have put into Q3 and potentially into Q4. And I’m going to dodge the 2014 part of that question, because we are not going to – let me try not to give guidance into 2014 if you don’t mind that. So maybe I’ll just address the specifics. For Q3 we derived about $200 from the Trivex acquisition and I think about $40,000 or $50,000 from the Clinical Instruments acquisition and in Q4 we are not breaking out by which company we are getting the revenues from, we never really breakout which product lines, we do it for in Q4, but I’m going to just give you a high level, it feels to me like we think its about $400,000 to $500,000 a quarter from these two things combined for Q4.
Jason Zhang – Edison Investment Research: Okay.
George W. LeMaitre: Okay. So can you spoon feed me the second part of the question again Jason since I try to take up the further part of the question.
Jason Zhang – Edison Investment Research: Okay, the second part of the question is looking at the last few quarters, because you are increasing your sales force base and also accounts as where you desire to go to derive versus distributor model where you have to increase your costs. So my question really is at what point do we – are we going to see a stop of that gradual increase and therefore the added sales force will actually start to contribute to the bottom line, because now I think the sale growth isn’t pretty nice, but at the same time you have to increase this cost because you want to open the new market. I guess at what point we will see that increase of the cost…
George W. LeMaitre: Jason is it fair for me…
Joseph P. Pellegrino, Jr.: Can I take that question as when do you plan to get operating leverage George? Can I make it that simple?
George W. LeMaitre: Oh yes.
Joseph P. Pellegrino, Jr.: And I would say that over the last couple of quarters minus this quarter that we are taking about right now, the Q3 quarter which is weak because the summer quarter. Over the last couple of quarters we felt is that we were starting to get operating leverage and in fact for the year our guidance does indicate 7% operating margin or 7.5% operating margin if you allow me to add back in the Obamacare $600,000, $700,000 I think we would be into the nines or the eight’s on that and that would be a pickup in Op-margin from the year before when it was 4.2 million divided by 57 million which I think is about a 7% Op-margin. So I think you are starting to see it all the way, I admit it’s a little bit slower than we might want, if you want to know how many reps we think we want at this company, we’ve said for a long time and I think it still holds true. We think naturally the company should have about 125 to 150 vascular reps around the world, but those reps now will start to be Chinese and Brazilian reps at some point and we haven’t gotten into the BRIC countries yet. So that’s probably the last of the places to go as those BRIC countries – I mentioned that we are direct in 19 of the 25 highest GDP per capita countries, that’s given you the beginnings of an indication that LeMaitre sort of starting to attack the richer markets that it needs to be in, the richer per capita markets and now I think the place to go is BRIC, but with 87 reps I feel like the rep build lasts for a little longer here, but we are certainly ahead of a lot of – most of our small cap peers. And so I would say the pain of the build of the sales force is more behind LeMaitre Vascular than it is a normal $63 million company.
Jason Zhang – Edison Investment Research: Okay. Maybe I can just have one related question to that is the Australia and Norwegian going direct change, in the past you have provided us a very nice historical data showing that once a country switch from a distribution to going direct model you clearly have sales increase. I wonder whether you can quantify that what timeframe I would look in at that type of increase. For example, in these two countries and would you set to go in direct this quarter, three quarters from now or two quarters from now, you will start to see this revenue increase.
George W. LeMaitre: Okay so maybe I can first – I can show your model what just happened and then we’ll talk about Australia and Norway. So the two most relevant models for us to talk about right now would be Canada and Switzerland and this year we look like we are going to print a 20% organic growth rate in Canada and about 125% to 150% organic growth rate in Switzerland, we just happened to a lot better than we are expecting in Switzerland and I think Canada was more or like we had planned it and also Canada was a little different and that there was no distributors to get read of, we were just tuning up the model by putting an office in Toronto and hiring more reps, whereas Switzerland is more typical of what we do as buy out a distributor where we had been selling at distributor level prices and then the following year you sort of get 100% mark up, because you are selling at hospital level prices. So now switch to Norway and Australia we planned to start selling direct sales approximately January 1, and the two businesses were roughly combined $300,000 of year at the distributor level and we think just at a very high level you are talking about $500,000, $550,000 at the hospital level next year. So you can think in your model that in those two countries LeMaitre is going to be picking up about $250,000 of sales and the gross margin obviously will be a lot better on those sales.
Jason Zhang – Edison Investment Research: Okay very good thanks.
Operator: Thank you and your next question comes from the line of Jason Mills, Canaccord. Your line is open, please go ahead.
Jason Mills – Canaccord Genuity: Thank you. Hi George.
George W. LeMaitre: Jason, how are you?
Jason Mills – Canaccord Genuity: I am well, thank you. sorry I have been bouncer around the few calls here in TCT [ph] so I apologize if you already went over this. Congratulations on a real strong quarter. There is so many good things I guess we could talk about of course, I’m going to pickup to one thing that I see more clarity on I don’t mean it to be picking up the one thing that goes down which is your operating income guidance for the year. And I just want to make sure I understood I mean we add some acquisitions I’m guessing that’s the reason, but if I’m doing the math right the fourth quarter OP incomes is around $800,000 bucks and you have printed better than that for the last several quarters even when revenue growth was negative net last year. So may be help us out with a run rate that is more apropos to what is business to generate going forward.
Joseph P. Pellegrino, Jr.: Jason this is JJ. Yes so we got it about 11 in Q3 came in at 800 I would say you know that the gross margin pieces is a big part of that story, but we also had higher operating expenses related to the Trivex acquisition we were doing focus group, and we were doing a lot of travel and we had some valuation work done and all that kind of stuff. And so that pushed down the operating margin as well. I would say if you take that midst getting back to your original question and you combine it with the Q4 guidance number you are starting off of that from where you are before down 300 grand or so on the bottom line. And so really that’s the big sort of delta piece between $5 million in the 46 that were giving you now, but also I would say the clinical instruments piece, the integration there in the XenoSure integration that plays a role as well. So those would be basically the two pieces of why that top income number is down. In terms of our run rate going forward, for top income our margin, I guess sort of in the – we would like to be in the sort of the $3 million to $5 million range, $2 million to $5 million range and more guiding $3 million, for Q4. And that’s about 8% Op-margin and that sort of feels about right to me.
Jason Mills – Canaccord Genuity: Okay.
George W. LeMaitre: And Jason maybe a little bit more color on these two acquisitions on clinical and Trivex. In the very, very short run they feel dilutive with the quick start to the integrations. But we do think in the longer run, particularly the Trivex we do think that at a high level of Trivex as about $1 million of Op income a year to our business. So that should eventually show up and I think this is just the near-term hurly-burly of the acquisition.
Jason Mills – Canaccord Genuity: That’s helpful. And another good quarter on the top line and obviously the acquisition toughed a little bit, but then again your MO over the last several years has been due smart acquisitions and your track record is pretty good. So I think that we can still give you credit for a strong top line. Now outstanding was augmented a bit by top line. That all being said George, you’ve grow in our four straight quarters in the double-digits and you are now going to start coping against those of forequarters. And you do have some acquisitions you’ve done. So maybe talk about, I know you’re – I’m pushing you a little bit on 2014, but talk about how you would have us sort of think about modeling those, because while you may talk about your Analyst Day in a week or so, we have to do it for tomorrow. And it would be helpful to just not get out our head of SKUs in terms of the way that you’re thinking about growth in the business, because it’s really solid growth you’ve got good gross margins, you are profitable, you pay a dividend and it is cheap, cheap stock. So it’s very easy story from me to tell investors, but it’s also a lot easier if, like coming every quarter and you’re beating by $100,000 and $200,000?
George W. LeMaitre: Right, right, you don’t want to see of guidance, but you sort of long to give you some building block?
Jason Mills – Canaccord Genuity: Yes basically, yes.
George W. LeMaitre: I think an important building block is to take these acquisitions and say, okay, LeMaitre had said that they were worth $3 million of sales in the year we bought them. I understand and as we bring them in as this Chinese piece to the Trivex acquisition, which is really a wild card. We knew this is going in but the, this is a long winded story. I’m going to try to chop you down and the thinking about this. These two businesses as a $2 million to $2.5 million a year business to start with till we know what we got we wouldn’t have bought them unless we saw we could grow them particularly the Trivex piece. So may be Jason we could break that off and say, that’s something very different and very new and it shouldn’t interfere with all the good things that are going on LeMaitre. And maybe I would just appeal to for the last 10 or 15 years this thing has been 8.5%, 9% organic growth company and may be a 12% or 13% reported growth rate company. And so you are going to have to look in the rearview mirror for some indications as to where we’re going to go with it next year. But you can’t think of it, let’s call $2.5 million, $2 million, $2.5 million of revenue that you’re going to have next year that largely you didn’t have this year, except for Q4.
Jason Mills – Canaccord Genuity: Okay guys that’s helpful.
Operator: Thank you. And you next question is…
George W. LeMaitre: [Indiscernible]
Operator: Sorry you take your next question.
George W. LeMaitre: We will go to a next question. Good
Operator: Thank you. Your next question comes from Joe Munda, Sidoti & Company.
Joe Munda – Sidoti & Company: Good afternoon George and JJ. Thanks for taking the questions.
George W. LeMaitre: Hi Joe.
Joseph P. Pellegrino, Jr.: Hi Joe.
Joe Munda – Sidoti & Company: Hello. Really quick George you touched a little bit on the reps you said 87 reps. Can you give us a breakout U.S. versus international?
George W. LeMaitre: Sure, in the Americas we have 45 that includes four in Canada and the balance in the United States. In Europe you have 34 and in Japan you have eight for a total of 87.
Joe Munda – Sidoti & Company: Okay, and on the last call I know you had talked about adding reps, is that – the conversation we had last quarter is that the Australia, Norway piece? Is that where the additional reps are coming from, as well as how many reps do you feel like you need down in Australia as well as in Norway?
George W. LeMaitre: Right, okay. So we guided 85 to 90 reps if you will, if that’s called guidance at the last call we still feel really comfortable with that ending this year at 85 to 90 and I do think the Australia thinks something different and separate, although my guess is those guys aren’t exactly on the payroll December 31, maybe its January 15, January 30 something like that. So you may not see them show up, but and then further an answer to your question, I’m going to guess that in the short run the next year or so we see two to three sales reps in Australia and in a long run Australia maybe it bleeds over into New Zealand maybe you see four or five reps feeding off of that Melbourne office.
Joe Munda – Sidoti & Company: And then in Norway?
George W. LeMaitre: I would guess that’s going to be one in Oslo, its 4.5 million people, so it’s the size of Massachusetts, but they happen to have their own language and their own currency, so its stands out.
Joe Munda – Sidoti & Company: Okay. And are they going to be on the scale of the eighth year or double eighth year that you have talked about in the past?
George W. LeMaitre: So all around the world are trying to make it all Tier-A, Tier-AA, I forgot what we are calling it now but Tier-A. though I found in certain markets where we have a new manger or an older manager or whatever, sometimes veer away from that and they go for more experienced folks. I feel as though in Australia we are going lean slightly towards more experienced folks, I feel like in Japan we have already leaned towards more experienced folks, but my guess is in Oslo where we have a manager right there in Gothenburg Sweden, we are going to go right at the Tier-A model the same way we always do.
Joe Munda – Sidoti & Company: Okay. And then as far as Trivex, I’m a little confused here, they currently sell into China correct and you had said that the approvals comes up it ends in 2014, and you are hoping to get approval in 2015 or 2016. I think Dave actually touched on this. So how much revenue of Trivex’s total 2012 revenue was devoted China? And what – I’m just a little confused if the approvals are up and you are trying to enter that market and now it’s in question into 2015 or 2016, how do you kind of navigate that?
David B. Roberts: Hey Joe this is Dave, thanks for the question. So on Trivex the geographic mix of revenue was about 85% U.S. and 15% rest of world and that rest of world was mostly China and as you have accurately pointed out the approvals for Trivex there are two, they are scheduled to lapse in 2014, there is a capital piece which lapses in January and a disposables piece which lapses in July. And so between now and those two dates we are able to sell products to the Chinese distributor any device is manufactured before those dates and after that we are not able to sell products into China. So as George I think referenced in one of his earlier answers, it’s a little bit of a wildcard situation for us, what the sales to China will be through the end of this year and maybe end of the beginning on next year. I would put it anywhere between maybe zero and $400,000, $500,000 ball-park, but frankly that’s just depended on a number of factors that’s really hard to predict. And then on top of that of course we knew these approvals were lapsing prior to the acquisition and we’ve already started a registration process to try to gain re-approval of those products as quickly as possible, but the timeframe in China is fairly lengthy there is a CFDA and it take while. So our best estimate is by 2015 or 2016 we’ll get approval once again we are moving as quickly as we can, but like any regulatory process there always unknown. So there will be a period of time where were off the market and I suppose that makes it a little bit harder for you guys to build your models and for us to some planning, but we do believe that we will get back on the market at some point and frankly there is a nice small or not so small installed base of customers in China and we think it could be a meaningful business down the line. We think the market for the product in China maybe is a $5 million market compared to $20 million in the U.S. so we definitely that’s worth going after.
Joe Munda – Sidoti & Company: Okay and then I guess my final question for JJ. I couldn’t let him get away with not answering one. JJ you gave little bit of I guess you guidance calling for gross margin in a 70% range going into the first half of next year is that 70% a hard number or are we talking is that sliding scale 70% to 75% as well as what were gross margins for XenoSure in the quarter.
Joseph P. Pellegrino, Jr.: Yes, thanks for not letting me off the hook Joe. Yes, I would say it’s a fairly tight band around 70% certainly not 70% to 75% I don’t mean that sort of in that 70% 71% range maybe. And I feel like the XenoSure start up costs are going to probably improve fairly quickly as we start making product ourselves that will be available for sale at hospitals and food product into the inventory instead of just ripping cost through the P&L, but then we will make it a more expensive rate than we’re buying it for now so there will be some offset there and negative there and then that improves overtime so that’s one piece running through the P&L. And then CI – the clinical instruments integration piece might continue for another three months to five months and so that piece will hurt the P&L for while longer and then improve and the mix piece that we talked about that’s kind of here to stay I think XenoSure will continue to grow and international sales as a percent of the mix probably will remain steady or continue to grow. So those dynamics are all coming through the P&L to sort of conspire to keep me around 70% in the short-term and then after than improvement from things I just discussed maybe price hikes coming through at some point and you know Trivex sales has a pretty good margin as well. So as we sell more of that in the U.S. it help the margin as well.
Joe Munda – Sidoti & Company: Okay thank you. That was very helpful.
Operator: Thank you. And you next question comes from Jan Wald, Benchmark Company. Please go ahead.
Jan David Wald – The Benchmark Company: Good afternoon everyone. Congratulations on the quarter. I guess I wanted to explore margins a little bit more JJ, I guess I am not looking of to hook either, it looks as if the margins are going stay pretty constant where they are then perhaps grow a little bit in the second half of next year? But a lot I guess depends on what the overall strategy of the company is in terms of letting the organic businesses that there are now sort of exists and move forward where if there is other things that might impinge no the margins maybe going into the second half of next year. So would you be willing to comment or say what your thought is for that margins for the second half of next year and maybe into the following year?
Joseph P. Pellegrino, Jr.: Yes, so obviously I didn’t guide on that intentionally Jan. And thanks were following-up on that question. I do think as we go around the turn of the year you got price hikes coming through and that’s going to help. And XenoSure we’re going to clean it up or we are going to squeeze costs out of XenoSure production overtime so that’s going to help may be in the back half. And Trivex margin in the U.S. are quite good, but if we start selling a decent amount of Trivex in a short-term in China, maybe that hurts the margin, because those margins aren’t quite as good as the U.S. So you have the piece sort of working its way through in the shorter term, but they are not relevant for the back half of the year. And then clinical, that integration will happen over the next three or four months, five months. And so we will wring costs out of that too. Which should help in the back half of last year so I would say directionally, there is always some good things happening out there. But I don’t want to give you a number around that.
Jan David Wald – The Benchmark Company: There I guess I wasn’t thinking you would. Second question, organic growth versus acquisitions in order to keep your growth alive and maybe get even a little bit more than you had in the past. What should we be looking for, are you satisfied with where you were now and you think can you get that 7%, 8% top line growth without having to do many more acquisitions? How should we look at your growth profile in that way?
George W. LeMaitre: Hi Jan this is George and by the way welcome to the coverage of LeMaitre, we’re excited to have you on-board here. The quarter that we just reported is a pretty representative of what I think we tend to serve up to New York and Wall Street which is you got 9.5% organic growth and we’ve topped op that off with another 2.5 points worth of bought growth. And if you look back at LeMaitre over the years that sort of us doing what we do and then we go and get ourselves into a couple of new countries and then we’ll digest it for a while and will – the gross margin grows up and down a little bit. What you are talking about with JJ it goes up and down a little bit, because as you, I think, you alluded to in your question, there is always acquisitions, we got guy Dave Roberts is out there itching to write a check to buy a company all the time. And so that’s always going to impinge on our gross margins, to that question. But I think what you just saw is who we think we are right now. One nice thing that you have going in the company is that XenoSure is the third largest product line next year, we believe and it’s growing in a rate this quarter of 49%. And I think we’re projecting for the whole year 48%. We really don’t see that thing slowing down to a massive extent, although we’re not going to guide on 2014 on that either. So you do have something new and exciting at LeMaitre that we really haven’t had before, which is a big guy growing quickly. So maybe that will tune up the growth rate. When we do give guidance like we just did for Q4, et cetera, I do think Jay, and Dave and I, we do think in the 8% to 9% for the organic growth and then let’s see if we can get it up to 12% and 13% with an acquisition or two, or something like that. So that too we think we are right now. And we’re not going to guide that it’s going to get better or worse, but that’s who we think we are.
Jan David Wald – The Benchmark Company: Okay. And then my last question. Just in terms of the balance sheet and leverage opportunities and the balance sheet. Do you see the balance sheet sort of thing where it is right now; do you think it’s going to change over the next couple of years?
George W. LeMaitre: Well that’s a load of question, that’s great. I do – what we see in our conference from all the time Jan is there is plenty of folks out there with equity money and debt money and they would like to have it LeMaitre hands. So we feel very comfortable that there is as much fund rising available here at this company as you want to do. I mean and the question is do you do it and then around what event do you do it, all of those are huge questions for the Board of Directors and later on and futures, but we do feel – in answer to your question partially, we definitely feel like we have the capability to do what we want here whether its from a debt or equity perspective and then its just the wisdom of doing it and which one you choose to do and if you want to do it around an event or not around an event. So that’s a big question, I hope I’m partially answering it. J any further color on that?
Joseph P. Pellegrino, Jr.: Yes, I mean maybe shorter that Jan with $13.6 million in cash and I’m going to say we are sort of $4 million to $5 million free cash flow company and be $8 million EBITDA company something like that, we are adding cash if we are not doing buybacks or we are not investing in the working capital or some other concepts so our CapEx. So there is cash they are to do tuck-ins going forward and it will sort of hopefully will build that cash slowly overtime to do those tuck-ins, but if you want to do something larger an $8 million revenue stream that’s you have to pay $20 million something bucks for then we are talking about balance sheet moves. But if it’s more in line with what we’ve been doing the $1 million to $5 million tuck-ins I think you are comfortable doing that with the balance sheet that’s you have.
Jan David Wald – The Benchmark Company: Thanks very much and congratulations on the quarter again.
Joseph P. Pellegrino: Thanks Jan.
George W. LeMaitre: Thanks Jan.
Operator: Thank you and your next question comes from Chris Lewis from ROTH Capital Partners.
Chris Lewis – ROTH Capital Partners: Hey guys thanks for taking the questions.
George W. LeMaitre: Hi Chris, how are you?
Chris Lewis – ROTH Capital Partners: Good. How are you doing?
George W. LeMaitre: Great. Great.
Chris Lewis – ROTH Capital Partners: First just on the Trivex business, you provided a little bit of commentary there, but can you provide some more color on what has been the response in the filed since adding that product, both in terms of training, the training process for the reps as well as any feedback you may have received from the vascular surgeon customers at this point?
George W. LeMaitre: Okay great. So we’ve been pleasantly surprised, I would say about uptick a little bit post acquisition Chris, because I have seen the sales force take to the product a little bit more than I expected them to take to. Now keeping in mind one thing we are finding out is this customer base is sort of the more of the venous vascular surgeon and LeMaitre has been used to dealing with the arterial vascular surgeon and I don’t mean to split hairs on us, but it is a slightly different creature that’s using this than its using most of our arterial products. But initially what I found is the doctors, the surgeons, the vascular surgeons that were using this device had felt sort of like they were being ignored by this small four person company called InaVein and now that we have a 45 person North American sales force which is principally where the sales are. I think they are real excited to all of sudden get attention from LeMaitre and I actually think it’s a very small, but enthusiastic customer base of I don’t know 50 to 100 surgeons and hospitals and I think we are going to be able to something with this, even more than I thought at the acquisition.
Chris Lewis – ROTH Capital Partners: Okay, so does that addition of that product and introduce your sales rep to those new vascular surgeons that they previously hadn’t been calling on?
George W. LeMaitre: I would say 50/:50, 50 of them we know 50% of them we’ve already known and we are doing business with, but 50% of them truly are new to us and it’s a question of will those venous vascular surgeons do other things that we also do and maybe not as much as most of our acquisitions tend to be right down the middle into the arterial vascular space and this one is a little bit left in terms of the venous space and they don’t use as many of our other products, though they will use a couple of them, I mean if we have 15 products on our shelf maybe only two or three are going to be used by these venous guys whereas arterial guys would have access or would – maybe need use 13 or 14 of them. But as I said it’s a very local enthusiastic, it also very focused group. Our venous vascular surgeons sometimes its sort of a guy whose decide they are going to leave arterial behind and focus only on venous and when they do it’s a sort of limited practice there, they are pulling out saphenous vein and they are also getting varicosities and this is one of the two things that they do and so they will do a lot of it. So it’s a little bit more of a guy who is concentrated – man or women surgeon who is concentrate on this stuff. So I think once we get in there you are going to see a lot of business, but business will be concentrated I guess is what I’m saying.
David B. Roberts: Chris this is Dave I will just add that just to be clear, Trivex doesn’t compete directly with the RF or laser ablation companies you might be familiar with this device is used after the ablation takes place the patient goes home and then comes back two or three months later and sometimes there are these branch varicosities that don’t get resolved and the choice for the surgeon is either to do a surgical hook flabactomy [ph] procedure where they poke 20 or 40 holes in the patient’s leg and it takes one to two hours or use the Trivex system and it takes 15 or 20 minutes. And so it really is a differentiated niche and I think that’s what the sales force is excited about here. There is nothing else like it and maybe it was under marketed and under sold by the previous channel.
Chris Lewis – ROTH Capital Partners: Great thanks for the color there, and then turning to the international side, another strong growth quarter there in the high teens. Can you talk about what’s driving that growth and maybe provide some color on if you think these type of growth rates are sustainable going forward?
George W. LeMaitre: Sure, so what’s driving the growth there the products are XenoSure plus the three other products that we keep talking about the AnastoClip of course I want to get the China in the second because that as another Chinese implication. So AnastoClip, Valvulotome, Catheters and XenoSure are the big four. We also this year particularly we are having a recovery with AlboGraft and also with the shunt for a variety of reasons in those had very nice quarters. So really those for are more the ones that go on and then geographically Chris you would – its Central Europe which is great because that’s our core operation over there and that means Germany, Austria and Switzerland are really doing well and then export operation was up I think about 55% and its run about our Frankfort office and its all around the world and its we are finding great success in sort of half the beat in track markets like Saudi Arabia, Turkey, Vietnam, Tunisia, places like this that we haven’t been before we have a very aggressive export manager. And then last word on China, which up you have listened – and I know you just joining us too and I would like to welcome you to the team as well if you have listened to our calls for the last couple of years, we really haven’t talked much about China, we had one fall start with the product in China about five years ago no where, but I do think as we think geographically for LeMaitre I think China is an interesting topic, we’ve done Australia, we had been talking about A, B, C which is Australia, Brazil, China I think we are veering more-and-more towards China these days, I mean the reason we are doing it is we think we have a couple of legs to stand on over there, we are got our AnastoClip product approved in China in April and its turning into a roughly speaking $200,000 to $400,000 a year business out of nothing and then also you heard us talk about Trivex in China, I feel like we have an option on a business over there, its unclear in two years where that’s going to go. But I think to start with it feels like a $100,000 to $400,000 business that’s two sort of $300,000 revenue streams maybe. And then also we have an approve – a couple approvals coming over the next 18 months potentially VascuTape as well as our Shunt product. And so there is something happening in China for us and we’ve never really talked about China until this call. You could potentially see a representative type office over in China over in the next year or so, I guess maybe once we settle things down in Australia, our sites return to China. So that’s a big geographic driver that we have some high hopes for as well and then back of your question Chris I think I in answering the first part I forgot the second part.
Chris Lewis – ROTH Capital Partners: It was just what type – are these type of growth rate sustainable going forward?
George W. LeMaitre: Yes on a relative basis I feel more excited about what’s happening for us OUS rather than in the United States and I think its largely about penetration, we are new to so many of these markets and XenoSure is very, very new to most of Europe and so you are going to get long, long growth periods from XenoSure in Europe, we are just getting into France, we are just getting into Italy and Spain and obviously we are not even into Australia and China yet. That’s why we are filing our approvals.
Chris Lewis – ROTH Capital Partners: Okay and then if I could sneak one more in, just on M&A front, you have made two acquisitions here over the past quarter or two cash balance is down a little bit. So is it reasonable to expect that maybe another quarter or two before we hear of another acquisition to build back some of that cash balance. I guess just the way you are thinking about that would be helpful. Thanks.
David B. Roberts: Okay Chris this is Dave, thanks for the question. So the acquisition pipeline of course well we are always mindful of the balance sheet and where things stand. I do think the guiding principle is, if we find a deal that fits our criteria and it’s the right price then we will push ahead and I think as George or JJ alluded to earlier in the call of course the availability of capital for LeMaitre I think is fairly extensive right now. Obviously we don’t have any debt, so we could take out a revolver or maybe at some point for the right transaction, a large transaction, there could be an equity offering, but getting to the other part of your question about you just did two deals, is there a pause et cetera. Back in 2007 we had a year where we did four acquisitions and so I would say really we did one deal on July 5 and filed it up within August 28 acquisition. And so as you know we always have a pipeline and we are always evaluating what’s in the pipeline and frankly the pipeline continues to look pretty good. I’m not going to tip my hand with respect to are we about to do a deal or as one a year away or two away, but I would say we continue to be out there looking – we are also mindful that the integrations do take some operational bandwidth inside of the company and we don’t want to overwhelm the company’s operational team, but we are backout there looking we’re busy integrating, but we’re out there looking and we expect that we would be able to come up with a capital we would need to do a range of acquisition sizes.
Chris Lewis – ROTH Capital Partners: Okay congrats on the quarter.
George W. LeMaitre: Thanks Chris.
Operator: Thank you. We have two more questions in the queue. And The next question comes from Larry Haimovitch, Haimovitch Company. Your line is open please go ahead.
Larry G. Haimovitch – Haimovitch Medical Technology Consultants: Good afternoon gentlemen, congrats on another big quarter.
George W. LeMaitre: Thanks Larry.
Larry G. Haimovitch – Haimovitch Medical Technology Consultants: What I wanted to ask you to George you talked a little bit about XenoSure it’s been absolutely a tremendous grower for you. Are you beginning to set your size a little higher, you’ve talked about the market size in the past; I can remember the size, $25 million to $30 million or something. Is it possible that XenoSure could continue to even outperform your expectations given how strong it’s been in the past several quarters?
George W. LeMaitre: Yeah well you get a glimpse into that Larry, because I think at the beginning of the year, I think our guidance if I’m not mistaken was $7.1 million for the year. And then I think we bumped it to $7.3 million and now to $7.6 million. So yes it keeps going and also maybe recently to things we uncovered was the relative ease with which we might be able to get an approval in Australia. And then also the straightforward path, I think, we’ve uncovered in China. And so two of the three big markets we need to get into which is Australia, China and Japan. We’re finding our way towards that. So maybe that gives that a longer runway I would also say not to be lost here is that we are transition the manufacturing from the Vancouver factory to the Burlington factory and in doing that, we’re going to be able to make different shapes and sizes. And in the five years that we’ve been selling this device we’ve never been able to innovate shapes and sizes, because we were always buying them from someone else who manufactured them. So when it’s finally, truly being made by us, I think you’ll see a little upside that way as well. So yes we’re excited about XenoSure and the thing just keeps striking along and I guess it would be fun to make 24 projections but it’s probably too soon to do that.
Larry G. Haimovitch – Haimovitch Medical Technology Consultants: Yes, George I remind I would changes I cant remember which of your both that doesn’t really matter. I’m catching the impression that as you fully integrate manufacturing at XenoSure that your margins would being lower, which doesn’t makes sense to me because before you were buying and now you are making it. Shouldn’t the margins on XenoSure actually be better under your manufacturing groups than somebody else’s?
Joseph P. Pellegrino, Jr.: Yes I mean this is JJ, Larry. Yes eventually absolutely, I think in the very short-term we’re buying from the folks up in Canada at a nice price, that’s probably lower than what we’re going to be able to manufacture the initial devices for. So initially when you get going with production you are you not as efficient as you would like to be.
Larry G. Haimovitch – Haimovitch Medical Technology Consultants: Yes.
Joseph P. Pellegrino, Jr.: I think its pretty short order we’ll clean that up and we’ll wind up manufacturing, for something around sort of where we are buying them from now and then overtime, hopefully even better.
Larry G. Haimovitch – Haimovitch Medical Technology Consultants: Yes, so this is just a short-term transaction and then ultimately will improve?
Joseph P. Pellegrino, Jr.: Exactly.
Larry G. Haimovitch – Haimovitch Medical Technology Consultants: Okay. Great thanks guys.
George W. LeMaitre: Thanks Larry.
Operator: Thank you and your next question comes from Charley Jones from Barrington Research
Charley Jones – Barrington Research: Thanks for fitting me in guys, I appreciate it. Just a few questions. I guess to start, are you holding price that you – the price increases that you put into place in the U.S. and being part of the year, are you seen that slip at all?
Joseph P. Pellegrino, Jr.: In fact Charlie we just did a big study and it’s about a week ago, we’re exactly holding, exactly the price size that we put in almost penny for penny.
Charley Jones – Barrington Research: That's great. And you gave us some good detail on some products that are doing well. I was wondering if you philosophically talk a little bit about whether or not you feel like your R&D pipeline is progressing as you would hope given the investment, increased investment you’ve made there over the last couple of years and whether it makes sense to continue with that strategy at your base or it maybe that those dollars would be better invested in other places.
George W. LeMaitre: Sure, sure. I mean I would start out at a very high level of saying there is only two ways to improve organic sales that I know of and you can tell me if you got a different idea. You can either grow your sales force, you can grow your footprint or you can make better products for them to buy and so I would say I’m definitely not in the – of the mood of abandoning the R&D effort, I think its just getting started here anyway two engineers at the IPO and now we have 13 so its really just getting going. If you want some actual numbers here, some nice things are happening at the R&D for some reason as we wrote this script there was so much going with the new counties and with the acquisitions that the R&D didn’t get that much focus in this, but it wasn’t because things aren’t going well. In Q1 we sold I think $900,000 dollars worth of – I’m going to call these new catalogue numbers, there is specifically catalogue numbers that have been launched in the last 48 months and we sold $900,000 dollars in Q2, we sold 1.1 and in Q3 like a nice ramp that it should be, we sold $1.3 million worth of these items and so you have even seen intra year this has starting to pickup a little bit of steam. So typically with the two launches you have the 1.5 ELV launch and the multitask launch, those are both going exceptionally well and they seem to be running right the second as product lines it would be $750,000 a year product lines and this is out of nothing. Now of course both of them are able to cannibalize the old device so maybe additively its not that big, but both of them out of nothing are doing quite well, contrast to that we’ve had some problems as you know the UnBalloon device that’s kind of gone to a very small run rate and then maybe the over the wire Valvulotome from last year is only doing about a third as well right now as the 1.5 millimeter ELV. Going forward we haven’t talked much about this, but we do have some launches coming up, I would say we enquired about these just because we sort of wait until they are actually concrete stuff that we can talk about, but you has some launches coming up as well in Q4 at the beginning of every year, we set out a plan of what we want to launch for the year and it tends to bulk up Q3 and Q4 as the deadline approaches as to when those projects are due. And so in Q4 you should see some nice launches.
Charley Jones – Barrington Research: I completely agree with you on R&D I mean I actually like it when its above 10%, but I guess the question is really about the scale and whether or not you have the scale to really do what you need to do and it sounds like you feel like you do.
George W. LeMaitre: Well that’s a great point.
Charley Jones – Barrington Research: I mean I wonder whether are not you don’t need to increase it even more is I guess the real question.
George W. LeMaitre: Right and its running at about 8% of sales, the last couple of quarters and I think we’ve had this goal to get it 10% and it just hasn’t gotten there for one reason or another, I think we would like to get it to 10%, so we are conscious that on the one hand you want to put a lot into R&D but on the other hand I got some folks correctly asking me when does the OP leverage come to this business George. So we are always beating two miles than I think we go back and forth on that.
Charley Jones – Barrington Research: That’s helpful. I guess my other question is a little bit around reps and philosophically again what you found with this class A tier rep or however you want to call it, I guess the real question is as they do become more seasoned more experience and grow their sales numbers is it harder to keep them and how does – and how does your turn over bend there and is this still the strategy you expect to go with in the majority of the world?
George W. LeMaitre: Sure. Okay so to answer the turnover question, I would say it’s a tale of two cities in the U.S. its 30 months and they are gone and its been discouraging and difficult over the years and this hasn’t changed by the way, we went Tier-A in 2008 and it was the same way before when we were paying a lot more money and it’s the same way now. They do tend – I wish you were different but they do tend to see LeMaitre Vascular as a smaller company as stepping stone to I want to go work at Medtronic or I want to go work it name your fancy device company and we are not quite Medtronic yet although of course we will be some day that’s one city is the U.S. and I would say outside of the U.S. its a very different story you do get, you do see reps lasting five and seven years and it seems to be – its not quite as typical to move from company to company outside of the U.S. But we – I mean Tier-A when we invested in 2008 it was sort of us coming to terms of the fact that we were going to see turnover and that we shouldn’t worry so much about it we should pay the reps for the current year that they working in and not pay them hoping that they would stick around out of some loyalty thing and so we have not been able to create that in the U.S. but I think OUS. we have been.
Charley Jones – Barrington Research: And my last question is just follow up person between comments between I think you and JJ. JJ alluded to maybe getting the new product you just bought back in the market in China, I think you made some comments about China in relationship to that and it sounded likes it off to market you don’t expect it on for a couple of years. So is there a possibility that it’s back on the market sooner next year or it’s just a couple of year timeline. That’s it thanks guys.
Joseph P. Pellegrino, Jr.: Actually this is definitely it will go off the market, one piece of it goes off January 15, and one piece goes off July 15 and I think there is some questions as to how much sales can we push into China so the distributor has a big warehouse full of products to sell during the time when it comes back on to the market. We think one of the pieces might come back on of the market in 2015 and one of the pieces might come back in 2016 although of course we got to get a yes out of the SFDA over in China and that’s always a lot of work and lot of money and time et cetera. So we don’t know when the F [ph] will come we are going to guesstimate for you that one comes in 2015 and one comes in 2016. We know it’s a little bit odd, China is unlike most of the places we work with where the registration laps at some point in most of these other geographies once you have a 510(k), you have got the 510(k) unless you do something really wrong and bad. In China they do have a fuse on them and they wear out after four or five years.
Charley Jones – Barrington Research: Okay well thanks again.
Joseph P. Pellegrino, Jr.: Thank you.
Operator: Thank you, ladies and gentlemen. That concludes today’s call. I would like to thank you for your participation and you may now disconnect. Have a great day.